Atul Sabharwal: Good morning, everyone. Thank you for joining us for the Snipp Interactive First Quarter 2024 Earnings Conference Call. I am Atul Sabharwal, Founder and Chief Executive Officer of Snipp Interactive. Joining me today is Jaisun Garcha, our Chief Financial Officer. Please visit our investor relations site at snipp.com for a copy of our earnings press release and detailed financials, which have also been filed on SEDAR. We present all financial figures in US dollars unless otherwise indicated. Before we proceed, I'd like to remind everyone that today's discussion may contain forward-looking statements. These statements are based on current expectations and are subject to risks and uncertainties that could cause actual results to differ materially. The first quarter of 2024 was pivotal period for Snipp as we continue to execute our strategic plan aiming at enhancing our revenue mix and improving gross margins. As anticipated, our revenue for Q1 2024 was $4.7 million, down 29% from Q1 2023, $6.6 million. This decline was expected and tied entirely to the sunsetting of a single pilot contract inherited with the Gambit acquisition. By exiting this pilot contract, our gross margin significantly improved, rising to 54% from 26% in the same period last year. Despite the supporting decline, our EBITDA loss for Q1 2024 was $0.6 million, a notable improvement from the $1.1 million loss in Q1 2023. Our bookings backlog stood at $15.4 million as of March 31st, 2024, up 12% from $13.8 million on March 31st, 2023. We ended the quarter with $4.2 million in cash and the company continues to be debt free. Our strategic initiatives are centered on three key areas, improving our revenue mix, expanding our high margin core business and driving innovation through our platforms. Here's how we progressed in each of these areas. Let's start with improving our revenue mix. We have been focused on sharing unprofitable revenue streams while securing contracts that align with our gross margin threshold of 50%. We have more MMR programs today than any other time in our company history. This strategic shift is evident in our improved gross margins and the increased proportion of revenue from our core business, which grew by 29% year-over-year. Our efforts to reposition our revenue mix are paying off, setting us on a path towards sustained profitability. On expanding our core business. Our core Snipp business continues to deepen and extend client relationships. We have strong momentum and have secured multiple large contracts, including the largest in our company's history with the leading global food and beverage company recognized in over 50 countries. This contract alone is forecasted to generate over $6 million in revenue during the third quarter. Also, we are one of the three companies selected earlier this year by Walmart to execute programs tied to Walmart's retail media network. The recent record win of $6 million that we mentioned in our earnings release came via this channel. One that should continue to provide new opportunities going forward as well as lock in our existing clients who want to leverage the power of Walmart's media. Additionally, we have secured several seven-figure deals across diverse industries, bolstering our sales pipeline recently with new marquee brands and new industries. These contracts underscore the strength of our platform and our compelling value proposition. While we would love to announce all these program wins, given the strategic nature of these programs for our clients, it becomes difficult to do so as we amount to Snipp giving away our clients' future plans to their competitors. These plans fundamentally tied directly to our clients' tactics, tied to their market share, pricing, new product introductions, and more depending on the program type they're utilizing the Snipp platform for. As such, we are limited in what we can tell investors when we win these programs. On the third plank of driving innovation through platforms, let me spend a moment touching on the innovation we are driving. First, our SnippMedia platform was launched in partnership with Bank of America and is demonstrating strong early performance. With high engagement levels and strong conversion rates, we're excited about the prospects of SnippMedia given the early metrics that we are seeing. We have both, inside and outside Snipp sales teams working hard to evangelize this new market offering and bring CPG clients to SnippMedia. As with any innovation, clients have to be first marketed to, after which they will pilot the offering before including it in their regular spend cycles. At this stage, we are very much in the marketing phase of the clients. We've been very receptive to hear about yet another innovation that Snipp is bringing them, as well as the initial data on performance metrics of SnippMedia. Over time, you will see more pilot clients coming on board, and this will be directly reflective of the number of offers available in the Bank of America app to begin with. In addition to focusing on bringing in new clients, we are also focusing on expanding the audience to which our clients can place offers with. While Bank of America was our first large publisher, we are continuing our partnership conversations with other financial institutions and on a large institution teed up to launch with SnippMedia by the third quarter. This will further expand SnippMedia's audience to over 60 million eyeballs. As we talked about last month on our year-end call, SnippMedia is unique because it is the only product in the market that allows CPG brands to bring specific SKU-level offers to banking customers. This proprietary Snipp Technology also enables Snipp to disrupt the 30 billion couponing industry that is predominantly still paper based in North America. On our second platform, let's talk about Gambit. To remind everyone, Gambit is the only technology that allows players to gamble with different forms of loyalty points rather than with cash. Recently, some of you might have seen multiple news coverage about Dave & Buster's, one of our early clients for Gambit. As a trailblazer in this space, they have attracted a lot of attention to the loyalty gaming space, including regulatory and political. We view these developments as positive from the perspective of moving the loyalty gaming industry forward. The sooner our clients get comfortable with the free to play nature of our sports book that is validated by like regulatory bodies, the faster their adoption will be. So entering this next phase of broader awareness among stakeholders in this industry is exciting for us. As with all disruptive innovations, the path forward will not necessarily be a straight line, but we continue to believe that the loyalty gaming industry is still in its very early stages, and we are working hard to fine tune the business model to make it not only economically viable to all parties, but also still steer clear of any political and regulatory hurdles. Economically, today, Gambit is a 41% margin business in its first quarter without the legacy hangover of the contracts that came with Snipp's acquisition of Gambit. We know there are many companies and industries that are looking to bring new loyalty innovations to their members, and using their loyalty points to wager is certainly an innovative and unique offering from Snipp. Economically, we now have the model. So now we are working hard to expand this to new clients. Looking out through the remainder of 2024, we are optimistic about leveraging our investments and expect these efforts to materialize in our financials, especially in the back half of the year. Our strategic initiatives and recent large contracts position us well for sustained top line growth and profitability. The loyalty and promotions marketplace is gaining traction and valuation driven by technological advancements. To no one's surprise, our Fortune 500 customers are coming to us to help them reach their end users as laws regarding consumer privacy are getting tougher and more strict. And just as importantly, since many investors have also asked us about AI, yes, we do use AI within our receipt engine in multiple different ways. One example is to help our customers fight promotion fraud. Given the amount of data we collect, we have multiple uses of AI within our business and have multiple features around AI in our product road map that we will be releasing over the course of the year. From an industry perspective, we expect continued industry consolidation with Snipp well positioned to capitalize on these trends. Our robust backlog and strong pipeline of new business combined with our focus on high margin contracts will drive our growth trajectory. We anticipate continued margin improvements in the upcoming quarters with profitability scaling in the second half of the year when promotional activity is typically stronger. The momentum from our recent contracts will carry us forward and we are confident in our ability to achieve our financial targets for the year. We would hope our investors leave this earnings call with the following three key takeaways. One, gross margin improvement. Our revenue mix has shifted back to our historical higher margin profile. While our top line was pressured by the end of one Gambit legacy contract, our gross margins now exceed 50%, enabling us to sharply improve our EBITDA and strengthen our balance sheet. Two, our robust backlog and pipeline are delivering not only in frequency of deal flow, but also in magnitude as evidenced by the large deal we disclosed in our earnings press release. Simply, our backlog and pipeline of new business are the strongest they have ever been. We're winning significant deals with major brands across diverse industries, reflecting the robustness of our platform and our strategic positioning. The changes in customer privacy laws and our increased adoption of AI around receipt and promotion execution help put us in a unique position as we talk to our Fortune 500 customers. And three, SnippMedia has marquee customers in the early stages of adoption. We're building out an ecosystem, aligning all of our partners, and finalizing all of the pieces that will allow for significant expansion in the quarters that lie ahead. This is an opportunity that we are excited about and look forward to sharing more updates on in the near future. I'll hand this over to Jaisun now to talk briefly about our financial results.
Jaisun Garcha: Thank you, Atul. As mentioned before, our revenue for Q1 2024 was about $4.7 million compared to $6.6 million for Q1 of 2023, a decrease of 29%. But as indicated, this decline was expected and linked to the sunsetting of a single pilot contract from the Gambit acquisition. However, our core Snipp business saw its revenue increase a very healthy 29% year-over-year. Gross margin for Q1 2024 was 54%, a significant improvement from 26% in Q1 2023. Also, our EBITDA for Q1 2024 was negative at about 600,000, but this is a significant improvement compared to Q1 2023 where we recognized an EBITDA loss of about $1.1 million, representing a EBITDA improvement of 500,000. Our bookings backlog stood at $15.4 million on March 31st, 2024, representing an increase of 12% from March 31st, 2023, and our cash at the end of Q1 was about $4.2 million and the company remains debt free. I will now hand the call back to Atul for some closing remarks.
Atul Sabharwal: Thanks, Jaisun. Let me close by thanking all of our hardworking team members for their strong execution and helping Snipp deliver meaningful growth in our core business as well as the margin improvement. I'd also like to thank all of you investors that have followed the company over the years. We have close to 50 people on this call today, which might just be a record. As we continue to look for ways of unlocking shareholder value, we continue to explore multiple parts to an uplisting of our shares to a more formidable exchange. We think that an uplisting will help foster investor and customer awareness, improve trading liquidity, and narrow the valuation gap between us and our US listed peers. At this time, we cannot provide a timeline for when an uplisting might take place, but be rest assured, we are investing the time and energy to find the optimum path to do so. As we move forward, our commitment to driving sustainable profitability has never been stronger. We are excited about the opportunities ahead and look forward to sharing more details in the coming quarters. Once again, please be mindful of the seasonality of our business. Similar to 2023, our current backlog, which is amongst the strongest in the history of the company, dictates that profitability should be weighted towards the back half of the year when the promotional calendar amongst our customers is typically more robust. With marquee partners and customers from a variety of industries such as Walmart, Bank of America, Bally's, and over seven of the top 10 CPG companies in the world, having already validated the effectiveness of our platform, we are energized by the prospect of future big wins from household names. Think that marks the end of our formal comments. Let's open it up for questions. You guys want to just raise your hands or in the chat, ask us any questions that you might have, and we'd be happy to address them.
Operator:
A - Jaisun Garcha: Atul, we have a question from, Daniel Rosenberg.
Atul Sabharwal: Yeah. Hey, Dan.
Daniel Rosenberg: Hi. Good morning, Atul and Jaisun. My first question comes around the $6 million win that you mentioned in coming in Q3. Can you just speak to kind of the timing of potential deals around that? And how should we be thinking about the cadence of, you know, these wins, as you're kind of scaling the media business for the next, you know, four quarters, let's say. Just difficult to model here. So just any insight would be appreciated.
Atul Sabharwal: Yeah. So this one -- this program a) it's not a media, it's not a SnippMedia win. It's a standard Snipp buy X get Y win traditional business. The media they will use is the Walmart media to drive the program. This program -- we won this program this year from a large, large competitor, that's owned by a large, large cable network. The program starts at the end of June and ends at the end of September. So it will be bang in the middle of Q3. The cadence so that was that part. And I think the last part of your question was the cadence of these wins, I hope very frequently. I can't forecast that yet, but, we do have other wins, not necessarily at the $6 million level, but at the $1 million or $2 million levels that will kick in across Q4 that we know of right now. Yeah, a little bit of this is, you know now that we -- now that we have approval to be a vendor an approved vendor of Walmart's and we have all of these other clients, you know, we can now start approaching them for some of these larger type programs.
Daniel Rosenberg: Okay. And then as it relates to the kind of Walmart program, I mean, that's obviously a big chunk if we were to compare year-over-year or to any quarter. So how much of that would you say is kind of the focus in the quarter versus kind of this is just incremental gravy? Not gravy, but incremental business, let's say. Just how should we be thinking about that Q3 as it lines up towards your historical prints?
Atul Sabharwal: So I think, it's an interesting question. I would say that there's definitely an element of incrementality to this program in a Q3, you know, historical performance if you want to compare it. Yeah, I think I would definitely tell them this as an incremental piece of business because even though we were even though this client has been a been a client of Snipps for a while, we wouldn't have been privy to this program if we not have the approval from Walmart. Do you see what I'm saying? So I would definitely call this an incremental to a steady state forecast.
Daniel Rosenberg: Okay. Great to hear. And then maybe turning to the initiatives around the bank offerings. Any progress there? I mean, obviously, this is a focus, with the core customer, but any potential on, broadening the client base or is the focus just really scaling, you know, the initial traction that you have?
Atul Sabharwal: So I want to make sure I understand your question Dan, and we can talk more. I think we're talking right after this call. So we are definitely let's talk about it in two ways. One is the publisher, the Bank of Americas of the world, right? Yes, we are focused on expanding the network to other financial institutions, if that was the question that you're asking me, right? That's what I mentioned earlier today. We should have another large financial institution come on board soon that we would launch on. So that when a client comes to us, we can propagate our offers across multiple banking partners, making it even more powerful for the brand, to reach a very quality audience that's not just looking for offers. So that's what I that's on the publishing side. On the other side, which is expanding our clients, yes. So if you look at SnippMedia, it's a, you know, it's one of a kind just launched in the market. It's never no. Take a Kellogg or a Nestle or a P&G, all great clients of us. You know, they have never had access to put offers in front of people who have bank accounts, all of us, right? Basically, in in through a banking channel, right? Sure, they can reach you in other ways, but these are banking customers using banking apps who have offers from retailers, but they've never had offers from manufacturers, because a bank doesn't see what someone buys inside a store. They only know that you went to a store and swiped your card, right? So we've solved that problem. So when you say bringing in new customers, yeah, I mean, all of these customers are going to be new even though they might have been really old customers of Snip. And that's the beauty of this, right? We have access to these customers. But as with all CPG clients, it's not, you know, something that they'll just sign off on day 1. They completely love the media aspect of it given it's a new channel, but they will first try it. They'll pilot it. And then, you know, like, by the -- by the end of this year, they'll be making decisions in their heads saying, hey. Should we do an Ibotta program? Should we do a SnippMedia program? Should we do a paper coupon program? And, you know, because our banking because our network and our publishers have a higher quality audience remember, Ibotta, which would be the nearest comparable here, has a great audience, but it's an audience of people looking for deals. That is margin destruction, right? The banking audience is not an audience that's necessarily only looking for deals. There's a broader audience there. Way broader, right? So just to end this, I mean, you know, if you think about bringing in new clients, right? Yeah. I mean, all of these are new clients for us in the world of media. For all of the 300 to 400 programs that we do in a year up until the till March of this year, we never took any media budgets from our clients. Now we actually have a credible mechanism to just go after those 400 programs as an example and say, hey, would you like to also place your media with us versus whoever they were placing it with before?
Daniel Rosenberg: Okay. Appreciate that. And then lastly for me, I just wanted to ask about the Gambit side of the business. So it's a bit of a big shift on the top line as the pilot rolls off. Just any color you could share in terms of the pipeline on that side of the business. Any visibility you have on there, would be helpful. Thank you.
Atul Sabharwal: Yeah, so let me give you some color there, right? We have, at this stage, spoken to a ton of different brands. If you go look at DraftKings, you know, today Pepsi just did a deal with DraftKings to run a sweepstakes with DraftKings, right? So brands are more than happy to associate with things that are core to their values, right? So we have spoken to multiple brands, and they all have been very, very receptive to the Gambit model. Saying this is cool. We can associate with sports in a new engaging way instead of giving you back PayPal or giving you back, you know, gift cards. This is a more exciting thing that drives user engagement participation, right? Where it gets stuck in some ways is when it gets to legal where legal says, hey, listen let's just trade slowly. They're waiting to see other people do it before they'll all come and do it, right? And that's why I talked about Dave & Buster's. Right? There are you can I don't know if you guys have been following the industry, but like there's a lot of chatter going on politically and you know hey, how can they do this, you know, but it's not gambling. They're trying to now introduce different types of gambling within their stores. But it's all good because it's making people have those tough conversations. So we do have a pipeline, right? We're developing it carefully, you know, and it's just, I think, in my mind, a matter of time before we get more companies of the ilk of the Pepsi's and the Monsters and the Red Bulls who will say, yeah, you know what? We're not going to get into trouble for an environment where people can bet free tokens for more free tokens. So it's not going to be a straight line like I mentioned, but the interest is really, really high. So I just got to have a little bit of patience. This is going to be, I think, for us, a very interesting you know, we're in the middle of the two banks and we are in the middle of the river right now that we should be able to find a way to cross over. And once we cross over, it'll be a steady state type of tactic that our clients would use on their programs.
Daniel Rosenberg: All right. Thanks for taking my questions. I'll pass the line.
Atul Sabharwal: Thanks, Daniel.
Jaisun Garcha: And, Atul, we have a couple questions in the chat.
Atul Sabharwal: Okay. Yeah I see that. So thanks, Ian. So Ian's first question is, did you have to offer any concessions to win the large $6 million program against the competitor or is that still at your historical gross margin profile? Okay. Great. Great question. Here's the thing. This client is already a client of us, and we didn't have to offer any concessions because they were already a client of us. They know our pricing. They know all of that. We just didn't have approval from Walmart. And once we got that, it became easy to close the deal on our platform. We already, you know, have all that data, etcetera, etcetera, right? The second part of your question is, is that still at your historical gross margin profile? So for programs of this type, I'm not going to get into the type of program. This is a program where, we know past participation because they've been running the same program for a few years now with us, right. They run other programs with us. For this type of program, it is the same gross margin profile. It's not going to be at the same gross margin profile of our core business, but you won't be able to like, again, we look for 50% margin on an average across the year. So part of this $6 million is projected as I put out in the press release. That's how it's performed typically every single year, so there's no reason to believe it will perform any differently this year. But there is an element of, performance in it, which we feel very, you know, confident that it will be no different than last year. So if it hits the performance metrics that it has for every single year for the last few years, I think our gross margin profile might not be at the 50% margin rate for this program. But on an annualized perspective when you look at it, it won't affect our margin profile. But as a single contract, no. It'll be at a lower margin profile. Ian, do you want to continue on this or can I move on to your next question? Okay. Thanks. So your second question is what if any expectations do you have for SnippMedia revenue ramp in 2024. We do have a model internally. You know, we've got a large client putting out their first cross portfolio set of offers in the next few weeks. I would say that today, I don't have a concrete guidance that I could give you, on what our revenue ramp would be in 2024 for SnippMedia. We do think in the back half of this year, it'll start contributing to us. But, you know, our internal model, if we can get to a $1 million of contribution from that business this year, we would be above our model's estimates. Okay. Brian, you have a few questions, but there are no questions posted.
Unidentified Analyst: Hi, Atul. Can you hear me?
Atul Sabharwal: Yeah. We can hear you.
Unidentified Analyst: Okay. Here are my questions. So you finished the quarter at $15.4 million of backlog and then you, you know, mentioned the $6 million Q3 deal as well as various seven-figure deals. Are you able to comment on where your backlog sits at the moment?
Atul Sabharwal: As of right now, we closed the $6 million deal in this quarter, so it won't show up in the $15 million figure. And there's only been in the month of June, the first quarter ended March 31st. So of that $15 million what would have been recognized as revenue from changing from bookings backlog to revenue would only be for the months of April and May. Correct? So not only have we sold so put it this way, you can do 15 plus 6 plus whatever sales have been for these two months minus whatever revenue we recognized. That would be the range of our bookings backlog as of right now. Jaisun, you can keep me honest.
Jaisun Garcha: That's correct.
Unidentified Analyst: Okay. And as you look at the remainder of the calendar year, you've spoken about how seasonality gets much stronger in the second half and then you have the 29% growth, year-over-year in Q1. Is it reasonable to view a number of around $30 million for your revenue? And that's, you know, that's what I'll say the uncertainty of SnippMedia not really layering in a whole lot in that regard. And then if you're also looking to, I'll say, be in the, you know, mid to upper 50s in margins, it's pretty easy to get to revenues of 30 million and EBITDA of around $4 million. Is that, is there anything off in the way I'm looking at that?
Atul Sabharwal: I think, okay, so let's start on margin first, right? Our focus this year is margin, right? We want to make sure we project 50% margin to start with. So I would not guide you guys to $30 million of revenue in our base case. Because when you start focusing on margin and, you know, we only focus on marquee clients who would provide us a business that can generate margin. Certain deals to Ian's question earlier today on the margin profile of this $6 million deal, for example, there's certain deals strategically we would take on, but there are other deals we won't. Why would we take on a lower margin deal? Why? Because it's a strategic client and b) because it's a strategic partner. So it's worth getting deeper into the relationship with both sides of the fence so to speak, right? But if I took 10 of those deals in a year, I mean, it boils down to the age old question, would you rather grow a 100% at 25% margin? Didn't do much for our business last year, didn't. So we changed that, right? So we'll grow slow. So this year is that year of shift. So to simply answer your question, I would not guide to $30 million . Is it potentially doable? Absolutely. Especially if we find a way to pivot our exchange from the Toronto Stock Exchange to either the NASDAQ to the US markets, basically. We also have other nonorganic elements, you know, that are balls in the air that we can execute on if the currency that we have is appropriate. That could easily take us to that, if not above that mark. But as a base case of our core business, as I call it mother earth and some people make fun of me, but, you know, I would not guide to 30. Is that fair?
Unidentified Analyst: Okay. And then can you comment on the EBITDA as well?
Atul Sabharwal: Right. So why we are focusing on margin and not the EBITDA growth profile of the company is because we are still investing, right? Part of our growth has come from hiring a CMO, come from hiring a Chief Revenue Officer, Chris Cuba. You know, part of it is also moving trying to move ourselves to the US market is going to cost us money. So I can't guide to an EBITDA profile because there's going to be expenses related to unlocking future value in the equity markets. And, you know, on a steady state, your numbers would be fine, but we're not in a steady state, right? So it's a question of I don't want to project a number to you guys when we know we're going to make strategic moves, but that will cost us money and drain EBITDA. I could get to an adjusted EBITDA metric maybe down the road, but, like, yes. So I would not guide to $4 million of EBITDA.
Unidentified Analyst: Okay. And that's completely understandable. And I guess as investors, I'm hoping everyone appreciates that, you can kind of get to those numbers, absent the investment. And so I think given where you've been, maybe people aren't able to, see as much as what lies in the future. So that I'm really just looking to point that out.
Atul Sabharwal: Well, I appreciate that, Brian.
Unidentified Analyst: You know and I understand that you're not really looking to focus on that. I guess I would encourage you to get as close to that as you can. But I want to take things a step further. If you're, essentially, you know, in your 2024 investor deck, you've got the, you know, tripling of revenues by 2025. And I want you to kind of build on that by taking us into 2025 without layering on with basically just speaking of mother earth, your core business, where you think that's going and what sort of a growth rate you could see for calendar year '25 or a range of growth rates. And then whatever you want to layer on top of that in terms of, you know, SnippMedia, Gambit opportunistic acquisitions, but if you can start with just kind of what sort of growth you see for the core business.
Atul Sabharwal: You know so I think our core business growth rate are always you know, we always baseline it at 15% to 25% a year. That's you know but again we said profitable growth. Look, we have different levels, right, that we can pull depending on what we think is the right mechanism to unlock shareholder value. Not diluting the company is a you know I don't want to be diluted. I'm sure none of you all do too, right? So making sure we have enough dollars on the available to make the right investments has to come from our own earnings. Our growth rate for our core business will remain in the, you know, I would just say in the worst case, 15%, you know, 25% to 30% on the top end of that range. And that's how we grow that business. But that bridge -- but that business really is -- it is a platform, and that platform, by definition, allows us to spin out, you know when I say spin up I should say, not spin out. Spin up associated businesses that allow us to capture share of wallet with our clients. Both Gambit and SnippMedia are fundamental risk, you know, mitigation on them is it actually drives sales of our core business, right? You can't do Gambit without our loyalty program. Hence, customers who are interested buy our loyalty program. Case in point is Bally's. The second case in point is a large launch that we're doing with a marquee tobacco company that literally will literally will hit the market this week. It was sold a while back. Three big brands launched this week. But they're also interested in loyalty gaming, right? Same with media, right? The infrastructure of SnippMedia actually allows us to get into the couponing space and provide that one tactic in the promotion space that we don't. So to answer your question, I think that sorry I think I gave you the range for our core business, without any acquisitions, but that's what, you know, we plan backwards from because then we know we can create some investment dollars to put back to spin up associated products that we can take to our clients.
Unidentified Analyst: Okay. That is it for me. Thank you very much.
Jaisun Garcha: Atul, before you get to the chat question, there's also Florian has his hand up to ask some questions.
Atul Sabharwal: Yeah. Sure. Hey, Florian. Absolutely. We can't hear you, Florian. Okay, Florian. While you figure out your mic, I will take Andre's question. Expanding -- so Andre's question is expanding the core business to new industries and geographically has been a long-term goal. What recent developments would you highlight that make these goals more achievable than in the past? I tell you the first thing that makes this more achievable is the fact that we actually have people and we have a team. It all starts with having a team in the markets that can cover the markets that we want. We have now painstakingly built a team in Europe that covers our clients in Europe and Middle East, right? We have, I think last quarter, I mentioned we crossed a few million revenue from that in bookings from that market for the first time. That market is as big as North America. I would I mean it just is. Our clients are global. Our execution capability was not global. Now we have still have the clients that are global, but now we have the execution capability. And that's the encouraging part of another upside driver for our business that we don't talk enough about actually. Florian?
Unidentified Analyst: Yeah. Can you hear me now?
Atul Sabharwal: Now we can.
Unidentified Analyst: Okay. Perfect. Atul, can you remind people how much of your business is sort of recurring or quasi recurring?
Atul Sabharwal: Yeah. So for the first time, like, you know, it's not quasi. It's really recurring. Let's stop there. Sorry Florian. So we have right now 24 distinct loyalty programs or slash on-going programs in the world of rebates, for example, running at Snipp. And these are just long-term recurring contracts which have a monthly fee that comes to us, and then whatever the transaction volume is on the programs, there's some amount of variable revenue that comes to us. And we're continuing to pound the pavement on that. Our long-term recurring revenue right now, Jaisun, do we have a calculated number there?
Jaisun Garcha: We usually have just disclosed that it's a great a certain percentage, whether it's below 50% or above 50%.
Atul Sabharwal: So it's, so let's do it this way. I think we are in the range of 7 million to 8 million of recurring revenue, just to give you guys a number. And maybe what we'll do is we'll start calculating a metric for you guys to analyze. But, yeah, it's growing. The number of programs is growing. Clients are signing on for longer terms with us. So yeah.
Unidentified Analyst: That's awesome. And then once again, Brian already mentioned that your goal of crippling revenue by 25. I think you mentioned at one point also something like 75 million as your ambition. Can you comment a little bit more on that? Is that still realistic? What ways do you think are they existing to get there? And maybe it's not a 25 story, but more 26. But what sort of would need to happen for you to get there?
Atul Sabharwal: Yeah. So 75 by 25 is definitely something that we've said and continue to say. It assumed that again it was -- it was not a projection, so I want to start by saying that it was a -- it was an ambition to get there, right? When you look at our business today, everyone's probably going to wonder how we're going to get there. We built two upside, we built two new pieces into our platform in Gambit and SnippMedia. So it's not inconceivable that we could get there if any of these businesses start ramping and scaling. So that I'd say that, right? Also, if we do manage to get a better currency in terms of our stock price, we can do a few more inorganic things, which is part of that assumption, right? So between the core business say the core business is 25 million, right? And say you do some math here, right? We do 400 programs a year give or take, right? Take a 100 of those programs and say we get a media budget of 200,000 to 250,000 for each of them. You can start layering the media value of our, you know, on top of the core business of our core revenue. And if you think that Gambit can actually scale, you know, we can add another 10 million there. So there are ways to get there, but it always because you said we're going to have some currency to do something inorganic because there are many opportunities to do that. It's not going to come entirely from an inorganic roll up strategy. I'm not asking for a roll up strategy. I'm just asking for currency because if we want to get to 75 by 25, it's totally achievable on the back of a majority of our core business our core businesses, these three earth, moon, and mars as we call it. But it has to be coupled with a few strategic acquisitions because that'll get us faster traction in the market just to buy revenue and buy clients who we can put on our platforms. So I don't know if I'm answering your question, Florian, but.
Unidentified Analyst: No. That's perfect.
Atul Sabharwal: Yeah. It's not -- it's not 2025 yet. I'm not saying we're going to get it to 75 million, but since there's a path to get there, but a few things have to fall in place for it to happen. A $0.10 stock price isn't going to allow me to get there. To grow, you need capital or a currency.
Unidentified Analyst: Right. Do you have for 2025? Do you have a revenue number where you would say you are disappointed that you only got there and not higher?
Atul Sabharwal: Nice way to ask me the same question. What are we going to do in 2025? If our business is not generating sustained EBITDA by 2025, I'd be disappointed. Let me flip the conversation to the bottom line. At the end of the day, that's my only luxury of making sure we can continue to innovate and grow the business and add value for our not only for our clients, but actually, you know, hopefully, even shareholder value comes out of generating EBITDA, right, as opposed to just revenue growth. I can grow the business to 75 million at 10% margin. I'm not sure anybody would like that.
Unidentified Analyst: On the topic of a NASDAQ listing, can you talk about the different ways, you are considering to get there?
Atul Sabharwal: Yeah. So you know there's, yeah, so from a NASDAQ listing perspective, there are couple of different avenues to do it. One is to just do a direct listing, right? The other is to find companies that we can spin into, that are clean shells that we can take over. So we're exploring a few different options right now and we'll definitely keep you guys informed as some of these materialize. I mean the key really thing is the cost of making the move, putting in the finance team infrastructure to get it done. You know so we sort of plan all of that carefully so we don't burn a hole in our -- in the cash sitting on our balance sheet, to enable that, right? But, you know, we've got different conversations going on right now, and we've had multiple conversations in the past as some of you know. It just, you know, finding the right mechanism and not doing it just for the sake of doing it, but doing it in a way that's well thought out that doesn't actually disrupt the value we've created.
Unidentified Analyst: Okay. Last one from me. Can you talk a little bit about your relationship with Bally's?
Atul Sabharwal: Yeah. So Bally sits on a board. They're very -- they're very -- it's a very, it's a good relationship. That company in itself is undergoing a tremendous amount of change. As you guys might have read in the news, there's an offer to privatize them. So they're very distracted by that currently. As a result of some of the changes going on within Bally's, their rule out plans are unclear to us. I think it's unclear to them too. But it's a very healthy relationship, and, you know, we continue to work closely with them. They have four programs running with us, that continue to grow. Very good feedback from their teams. But, yeah, that that's where the relationship's at right now. I would say it's frozen -- its frozen for now as they figure out their own corporate evolution. There are opportunities for us to get deeper with them in many areas that, you know, we can clearly discuss. Actually, great question because part of unlocking, you know, our share price in some ways to a more reasonable number would actually enable them to be more comfortable in doing more things with us since they are an equity owner and can actually contribute quite significantly to driving equity value for the company. So, you know, we continue to, like, from an operational execution perspective, it's great. From a, you know, shareholder strategic perspective, we could do much more with them, but for that, you know, we need to show them also that the stock price is more robust, I would say.
Unidentified Analyst: Okay. That's it for me. Thanks a lot.
Atul Sabharwal: Okay. I don't see any more questions. So if there are no more questions then, yeah, guys, we'll talk to you after second quarter ends. Thanks, everybody. Appreciate the time.